Operator: Good day, everyone. And welcome to the Littelfuse, Incorporated Fourth Quarter 2016 Conference Call. Today’s call is being recorded. At this time, I will turn the call over to Executive Chairman, Mr. Gordon Hunter. Please go ahead, sir.
Gordon Hunter: Thank you, and good morning, and welcome to the Littelfuse fourth quarter 2016 conference call. Joining me today are Dave Heinzmann, our President and CEO; and Meenal Sethna, our Executive Vice President and Chief Financial Officer. Our fourth quarter results exceeded the midpoint of our guidance and provided a strong finish to a very good year for Littelfuse. Our sales surpassed the $1 billion milestone for 2016 and our earnings and cash flow also set new records for the year. Our Electronics segment had a strong fourth quarter and Automotive was stolid overall. This set continued weakness in our Industrial segment as well as in our commercial vehicle products business. As you know on January 1 of this year, Dave Heinzmann became our President and CEO and I assumed a new role as Executive Chairman. Dave has been with Littlelfuse for 31 years. He and I have worked together for the past 13 of those years helping to transform Littlelfuse from a fuse company into a global leader in circuit protection with growing platforms in power control and sensing. The CEO transition has been exceptionally smooth due to a thoughtful well planned succession process that was similar to the CFO transition to Meenal a year ago. It's really been an honor to lead this Company through a period of unprecedented growth and to work with Dave, Meenal and our Executive Team. Littelfuse is well positioned for our next stage of growth and I know that Dave will be an outstanding CEO. I look forward to continuing to work with Dave, the Executive Team, and our Board and I know Dave and Meenal look forward to continuing to work with all of you. In my new role, I will no longer be participating in our quarterly earnings calls. It has been great working with all of you and keeping you updated as we executed our growth strategies. Thank you all for your confidence and support. And with that introduction, I’ll turn the call over to Meenal, who will give a brief summary of our fourth quarter and full-year. Meenal?
Meenal Sethna: Thanks, Gordon. Before we proceed, let me remind everyone that certain comments we make on this call contains forward-looking statements. These forward-looking statements are not guarantees of future performance and may involve significant risks and uncertainties. We refer you to the Company’s Form 10-K and 10-Q as well as our other SEC filings for more detail about important risks that could cause actual results to differ materially from our expectations. In addition, our remarks today refer to the non-GAAP financial measures, adjusted earnings per share and adjusted tax rate. These non-GAAP measures are intended to supplement, but not substitute to the most directly comparable GAAP measure. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures is provided on our fourth quarter earnings release filed on Form 8-K today and available on our website. Now some highlights from our fourth quarter and full-year 2016. Sales for the fourth quarter were $285 million, up 29% year-over-year. As you may recall, the fourth quarter of 2015 included an extra week. Excluding the impact of that week, acquisition revenue and e-house divestiture, organic sales growth was 6%. On a constant currency basis, organic sales growth over last year was 7%. You can find growth by segment excluding acquisitions, the divestiture and the 2015 extra week in the press release we issued this morning. GAAP diluted EPS was $1.19 for the quarter. Adjusted EPS was $1.57 which increased 38% year-over-year. Looking at the full-year, sales for 2016 were $1.56 billion and were up 22% year-over-year. GAAP diluted EPS was $4.60, adjusted EPS was $6.26 which increased 26% year-over-year. The adjusted effective tax rate for the full-year was 18.1%, a 700 basis point reduction versus last year. We finished the year with a record cash flow generation of cash from operating activities was $180 million and capital expenditures were $46 million. Free cash flow finished with $134 million for the year, a 10% increase over the last year. As we announced in December, we completed a private placement of approximately $350 million of senior note. The U.S. dollar and Euro notes range from 5-year to 12-year maturities and have an average interest rate of approximately 2.25%. Putting in the fixed rate debt limits our interest rate exposure as rates rise, while providing a flexibility for the execution of our long-term strategy. In summary, we close 2016 with a solid fourth quarter and delivered record performance across all of our key financial metrics for the year. Now I will turn it over to Dave for more color on business performance and market trends.
David Heinzmann: Thanks, Meenal. Starting with the Electronics segment, fourth quarter sales of $156 million increased 60%. For the full-year, sales of $535 million were up 32%. This was an exceptionally strong quarter for our Electronics segment was sales up 6% sequentially over the third quarter. This is unusual as our fourth quarter sales are typically lower than the third quarter. Some of that was driven by customers placing additional orders and taking shipments in December due to the earlier Chinese New Year. Overall our fourth quarter sales were strong in China and showed solid growth in Europe and North America. Sales were particularly strong in the mobile phone charging and electric vehicle market. Fourth quarter margins also continue to be strong due to better leverage from the higher revenues as well as favorable product and regional mix. Electronics channel inventory were in line with our expectations for the quarter. As discussed at our Analyst Day on December, each business has target markets that we believe all for exceptional growth opportunities. I'll highlight our progress and for these markets across the Electronics segment. They are battery protection, appliances, telecom infrastructure and automotive electronics. We have stabilized the battery protection business and are focusing on opportunities for growth. For example, we're moving beyond smartphone batteries into adjacent market. One of these is a higher current charging system for portable WiFi devices for our Polymer PTC products are used within the cable to prevent overheating. These portable WiFi devices are designed for growing markets in India and other countries were WiFi coverage is not as broad as in developed countries. Also in the battery market, we are continuing to gain share with our bimetal mini-breakers that ensure the safety of lithium ion batteries used in devices such as smartphones, tablets and digital cameras. Our two newest programs are with the key mobile computing OEM, where our strong local technical support at the customer's design site and with the customers’ subcontractors and battery suppliers enabled us to secure this win. Small appliances continue to be a growing market for our electronic components and sensors. We recently won new business with one of the largest single shot espresso coffee makers in Europe for our sensor assembly to detect the position of cartridge loading trade in their next generation coffee makers. Telecommunications equipment is another market we’re continuing to build momentum. We had multiple wins of telecommunication equipment suppliers globally for a new protection thyristors. We developed to provide overvoltage protection percentage of telecom circuits that transmitted data through telephone line. These wins contributed over $1 million in sales in 2016. We are also generating significant new business for our high powered TVS diode, to protect the power supply and cell phone base stations. This application added $2 million in revenue in the fourth quarter, primarily in Korea and Europe and we expect to see continued growth in 2017. Looking at automotive electronics, battery sense line protection is a growing category with significant opportunities. Sense lines measure the voltage in a battery to ensure the health of individual cells or clusters. A recent win was with the Chinese electric battery maker that selected our ceramic chips used to protect the sense line against short circuit failures in the event of an accident. Our leadership and fuse technologies and understanding of the specific application of the customer get its product to market sooner. In addition to fuses or diode array products are also well-positioned in various automotive electronics applications including infotainment, communication networks and GPS antennas. We realized $1.5 million of revenue for these applications in 2016 and expect revenues to reach $4 million in 2017. At our Analyst Day, we also talked about expanding our position in power control semiconductors as part of our growth strategy. We took our first step in entering the silicon carbide market in late 2015 through our investment in Monolith Semiconductor, an Austin, Texas based startup company with a team of experienced silicon carbide and power semiconductor experts through developing this technology. Silicon carbide products have inherent advantages over silicon-based devices allowing them to switch faster and provide even more efficient power conversion. Monolith has been making good progress for their development and expect to start releasing silicon carbide products this year. As part of the strategy, we began funding additional development efforts for Monolith late in the fourth quarter. You will be hearing more from us on this growth area in the coming months. In summary, we believe our broad product line and focus on targeted growth markets such as battery protection, appliances, telecom and automotive electronics will continue to drive the future growth of the Electronics segment. Next is the Industrial segment were fourth quarter sales of $22 million were down 33%. For the full-year sales of $106 million were down 14%. The decreases were primarily due to continued weakness across many of our key end markets including heavy industrial, mining and solar. In the fuse business, we faced a difficult comparison against a strong fourth quarter of 2015 when our customers were in ramp up mode as they expected the U.S. solar tax credit stimulus to end. With a sustained weakness in the major end markets for our protection relay's and custom products, we are continuing our focus on reducing costs and improving profitability. While the ongoing market headwinds remain a challenge, we are continuing to manage through this historic downturn in several important markets. We believe the Industrial segment will continue to provide good growth opportunities for us over the long-term. We are working to convert additional fuse distributors to Littelfuse products and add new customers in the relay business. Looking beyond the individual markets for this segment, our industrial product technologies have a broader and key role in supporting our growth in strategic markets such as electric vehicles and energy storage. That brings us to the Automotive segment were fourth quarter sales of $106 million or up 19% over the prior year quarter. For the full-year, automotive sales of $415 million increased 22%. Our passenger car fuse and sensors businesses had another solid quarter, while our core commercial vehicle products continued to be impacted by market weakness. During the quarter, the Automotive segment won new business that will contribute approximately $17 million of new annual revenues at peak production. Worldwide car builds were up 8% for the fourth quarter, led by China where production increased 19%. Total passenger car fuse sales increased 11% for the quarter, excluding that 2015 extra week in currency impact. Strong performance in China would somewhat offset by lower sales in Europe as programs were transferred to China. We continued to benefit from the Chinese government's tax incentives for smaller cars, which were set to expire at the end of 2016. These incentives will continue at a lower level in 2017. Sales in China from new programs for GM where we have high current – high content ramped up. We also benefited from new business wins resulting from our strong relationship, local OEMs and Tier 1 customers. In December, we discussed multiple growth opportunities from the electrification of vehicles. We won a new master fuse program with GM in China for a new line of hybrid vehicles will contribute approximately $500,000 in new revenue at peak production. Additional wins in China included standard fuses for Ford and our high current ZCASE fuse for a new compact SUV manufactured by GAC, a leading Chinese OEM. Outside of China, new fuse programs for Ford and Renault ramped up during the quarter, we won new master fuse programs in North America with Chrysler and GM. These wins well contribute approximately $5 million in new revenue at peak production. We also secured a notable design win with a large Tier 1 supplier for our polymer PTC pluggable device that protects the motor circuits of a power window. This is a seven-year life cycle program starting in early 2017 with annual revenues of $2.1 million at peak. We continue to have good design in activities with our customers around opportunities for 48-volt systems and we expect OEM's globally to increase their focus on these vehicles in 2017. In December, we also talked about our automotive sensor business being a key growth area for us. We introduced two new innovative sensor designs in the fourth quarter and we expect to deliver new revenues over the next two or three years. These include several speed, position and direction sensors based on enhanced magneto resistive technology, and an innovative new mirror mounted sensor cluster that measures rain, humidity, temperature and solar all-in one package. Two notable wins during the quarter for next generation advanced seat belt buckle sensors and sensors for fuel heater applications with two leading OEM’s. Both wins support our strategy of growth in selected target markets and will contribute nearly $4 million in revenue at peak production. Our automotive sensor business had a successful year, the sales growing 16% and meaningful improvement in margins as we migrate to a better mix of business. We have particular strength across our occupant safety, efficiency and comfort applications such as power tailgate and dual-clutch transmission. As we head into 2017, we expect the customer transitions out of the legacy programs to continue in the first half of the year dampening the growth rate. However, we expect sales growth to pick up later in the year as these transitions are completed and new programs are launched. Sales of our Commercial Vehicle Products or CVP were up 18% in the fourth quarter. Excluding the Menber’s acquisition, sales were down about 10% due to the continued weakness in the North America heavy truck market, as well as the general global softness in agriculture, construction, and mining. One of our targeted markets is the bus segment, where we secured strategic wins for our power distribution modules with two North America OEMs, both programs will launch in 2017. In summary, we continue to see strength across our passenger car product including Fuses, Sensors, and PolySwitch product. The Menber’s acquisition is helping to expand our CVP sales geographically which is one of the growth strategies for the business. Now, I'd like to give you a quick update on acquisition. The integration of the ON product portfolio is progressing as planned. We will complete our systems integration in this quarter and we have started the capital expansion at our Wuxi facility. Our customer base is enthusiastic about our expanded product offering which is very encouraging. Looking at PolySwitch, this is the last time we will provide separate comments on this acquisition. The integration was completed ahead of schedule and we are on track to achieve the more than $10 million in annual synergies we anticipated. As we noted last quarter, we started realizing synergies in the third quarter of 2016 with a further ramp up in the fourth quarter and into 2017. The transition for customers, employees, and distributors has gone smoothly. Our combined product line is being well received in the market. We are winning new business and new customers. We are very pleased with this acquisition and look forward to many benefits that will bring to Littlelfuse in the years ahead. That concludes the business review. Next, is an update on our growth strategy. At our December Analyst Day, we talked about our successes in the previous five-year strategy and launched our updated strategy for the next five years. Over the past four years, we largely achieved our goal of double-digit sales growth, 5% organic growth excluding currency impact and 10% annualized revenue growth through acquisitions. We also achieved our targets for operating margin, operating cash flow and capital allocation. Our go forward strategy over the next five years focuses on building on these achievements. We plan to do that by leveraging global mega trends including the safety of people on equipment, energy efficiency in the connected world. We expect to grow revenues and earnings at double-digit annual rates over the next five years with an accelerated organic growth rate of 5% to 7% and acquisition growth of another 5% to 7%. We will provide you quarterly updates on many of the strategic growth initiatives we highlighted. Acquisitions are still the key element of our strategy. We have a wide set of various product, market, and technology focus areas and I look forward to sharing future updates on our progress. Ultimately our strategy is to continue to grow our core circuit protection business, accelerate sales of our power control products and double the sales of our sensor platform. These are just the highlight. There is much more detail and information in our Analyst Day presentation and webcast that are posted on the Investor Relations section of our website. Shifting topics, we've received many questions about the new administration's proposed policies and their potential impact on our business. At this point, we believe it's two preliminary to have a view and tell there is greater clarity on which of these proposed policies may actually be passed in the legislation and if so, and what final form. We will continue to monitor events provide updates when appropriate. Finally, I would like to thank Gordon for his leadership over the past 13 years. He is both a mentor and a friend to me and our entire executive team. I know many of you already and look forward to working with all of our analysts, investors in the months and years ahead. I’ll now turn the call back to Meenal, who will provide the outlook for the first quarter. Then we'll take your questions.
Meenal Sethna: Great, thanks Dave. As we entered 2017, we’re off to a good start with continued solid demand across our Electronics and Automotive segments, the continued softness in end markets impacting our Commercial Vehicle business and Industrial segments. In addition we see on going volatility across foreign currency rates and commodity prices and expect that to continue. Based on the current economic environment in foreign exchange rate, we expect the following for the first quarter of 2017. Sales are expected to be in the range of $278 million to $288 million. The midpoint of the sales guidance reflects a 4% constant currency organic growth rate, which excludes acquisition, the e-house divestiture and currency effect. Adjusted earnings per diluted share are expected to be in the range of $1.56 to $1.70. This includes $0.03 of expense to fund development activities with Monolith Semiconductor. For the full-year, we are forecasting in adjusted effective tax rate in the range of 17% to 19%. Also for the full-year, we are expecting capital expenditures of approximately $70 million. This includes about $20 million of the investment we are making in our semiconductor fab capacity, relating to the manufacturing transfer of the ON product portfolio. As Dave highlighted in his closing comments, we expect our updated strategy to result in double-digit annual revenue growth coupled with double-digit earnings per share growth. We are confident in our ability to execute on the strategy that will get us there. This concludes our prepared remarks. Now we'd like to open it up for questions. Paulette?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question comes from Christopher Glynn from Oppenheimer. Please go ahead.
Christopher Glynn: Thank you. Good morning. Just wondering how you think about the glide path for the automotive margin for the next year or so, just given that the fourth quarter was kind of below the trend and it's been a little depressed, arguably, but just dealing with the Menber's acquisition, the CV cycle, and some product transitions, and particularly in the context where you've indicated maybe the electronics margins have been overachieving a little bit?
Meenal Sethna: Sure, hi, Chris. This is Meenal. So I’d say generally you should expect to see an improvement in our margins, the automotive margins in 2017. I think you mentioned that few of the different issues that we've had in 2016 that it depressed margin, the Menber's acquisition, also the PolySwitch acquisition a little bit. So synergies start to coming through more will get a benefit from that as well. And then also we will be completing the exit of the low margin business in the sensor business. So as all that continues to the year, we’ll see an uptick in margins.
Christopher Glynn: Okay. And the electronics revenues really kind of blew through expectations here. How would you kind of toggle that upside versus either a perfect storm versus really a groundswell from all your long-term efforts at market segmentation and expansion coming to fruition in the run rates?
David Heinzmann: Chris, I think there's actually a couple things to play here and we talked a little bit about it. Certainly, Chinese New Year falling earlier and at the end of January rather than in February, probably pulled some demand forward into December that we would maybe historically view as more normal in January. I think that kind of drove a higher level of growth in the fourth quarter, but also I would say particularly North America, but our demand cycle in the fourth quarter in North America was pretty robust, Europe as well. And I think that reflects fairly positive view of kind of the electronics business. Overall electronics business moving into 2017 and also think many of our distributors had inventory positions were appropriate. So there was kind of no reason to try to drive inventories down in the back end of the year, which sometimes happens. I think all those things really kind of help to make a pretty robust fourth quarter for us kind of add normal increase in revenues in the fourth quarter compared to the third quarter.
Christopher Glynn: Okay. And with the Chinese New Year, I'm wondering if you expect an air pocket at some point on a linear basis. Given the electronics book-to-bill and the 1Q guidance, it doesn't really look like you are seeing that for the first quarter, but maybe the second?
David Heinzmann: Yes. I don't think we see an abnormal air pocket being created by that. I think our planning normally expects during the first quarter to have some gap particularly in Asian revenues in electronics. So we don't see that as particularly unusual for this first quarter maybe because it's pulled forward more into December that maybe a little softer in the first quarter than we might see sequentially. However, so far we're off to a pretty solid start.
Christopher Glynn: Sounds good. Great year. Thanks.
David Heinzmann: Thanks, Chris.
Operator: Our next question comes from Matt Sheerin from Stifel. Please go ahead.
Matthew Sheerin: Yes, thanks, good morning. Just a couple of questions from me. Just regarding, Dave, your growth targets of organic growth of 5% to 7% over the next few years, looking at this year, as you pointed out earlier, there are potential headwinds on the automotive business. The heavy truck commercial business still continues to be weak, so the question there is, do you expect that to be down again? And then, electronics, obviously tough comps on a year-over-year basis as you start the year here. So what's your comfort level in terms of hitting those targets this year?
David Heinzmann: Yes. Well certainly long-term over the five-year horizon, we feel comfortable and in December kind of laid out that 5% to 7% and accelerated organic growth rate. We still feel very comfortable over the five-year horizon to do that. We haven't given specific guidance for the full-year in 2017. However, I think some of the challenges that we faced in 2017 are FX. So certainly currencies are not supporting the organic growth as strongly particularly in Europe and also in China. Those probably have a stronger influence on our automotive business and they do electronics, but that certainly is a bit of a challenge. You mentioned that commercial vehicle space for us. We certainly do not see that as a robust market in 2017. Although, we believe perhaps overall that’s kind of beginning to flatten out a little bit, but we don't see general market increases in 2017, but perhaps declines are slowing a bit there. So we do face some of these headwinds in 2017, but overall, we feel pretty good about the position we've taken in areas like automotive electronics that will drive organic revenue over the horizon of our strategy.
Matthew Sheerin: Okay. Thanks. And just regarding that commentary on auto electronics, my follow-up basically is that you have obviously increased your exposure to the auto business through acquisitions within your electronics segment. So could you talk about if you roll that out between auto, the fuse business, and electronics, the content opportunity and the cross-selling opportunity between your legacy auto business and some of the new product that you've acquired through acquisitions in terms of cross-selling that into your existing customer base, and what's the long-term opportunity there?
David Heinzmann: Yes. I think because much of our automotive electronics rolls up from our reporting standpoint into our electronics business. It's a meaningful portion of our electronics revenues. It’s probably in that range of maybe 15% of the revenues, and in the Electronics segments that are actually being driven by automotive parts of the application. We feel our traditional automotive fuse business, our market share is such that – really our growth story there's driven out of content increase not so much share gain opportunity. We think in the automotive electronics it actually enhances our ability to do both content increase, but also a market share opportunity for us to grow over the longer term. So in general, we think the automotive electronics focus that we have will perhaps create more opportunity for organic growth driven at automotive.
Matthew Sheerin: Okay. Great, thanks a lot, and best of luck this year.
David Heinzmann: Thanks.
Operator: Our next question comes from Shawn Harrison from Longbow Research. Please go ahead.
Shawn Harrison: Hi, good morning, everybody. I wanted to touch on auto as well, if you were just looking for maybe hazard of an expectation of auto production this year, particularly in the context of the strength in the back half of 2016 related to the China auto stimulus and whether you're concerned of any air pocket in China auto at any point in 2017?
David Heinzmann: Sure. Clearly, there is a lot of data out there as to what the projections are, but I think our viewpoint towards car build is that it won't be as robust as it was in 2016. However, I think our view and the market data that we see is that global car build is that between 1% and 2% sort of overall growth with moderate growth in North America and Europe. And our current view on China which is a big part of our driver is somewhat flat. Some people are projecting a little bit of growth over the year, but where they've had meaningful growth year-over-year that certainly is flattening out because of the pull forward that really took place with the incentives in the back half of the year. However, the incentives do remain in 2017. They're somewhere in the range of half of what they were in 2016, so we don't think they will drive high levels of increase, but I think probably China is reasonably flat.
Shawn Harrison: Okay, very helpful. Meenal, in terms of, or I guess Dave as well, the acquired business from TE in terms of the synergies that are still to come, I know you're looking north of $10 million, but maybe if you could speak to how many of the synergies have been achieved so far and when you should see that full run rate in 2017?
Meenal Sethna: Yes. So as Dave mentioned, we pretty much now completed the integration work that's going on. So this will be – I would say the run rate you can start counting on in Q2, for that we've got a partial quarter still as we're finishing up something that that a full run rate will be baked in starting Q2. And just to recall, we really started seeing some of the synergy impact starting in Q3, Q4 et cetera, so some of that’s already been baked in.
Shawn Harrison: Are you one-third of the way there so far coming into 2017, halfway there, in terms of…
Meenal Sethna: I think probably – entering the year probably about two-thirds of the way in.
Shawn Harrison: In terms of synergies realization.
Meenal Sethna: Yes, mainly because we ended up finishing about a quarter sooner than we were originally projecting in forecasting out. We were thinking it’s going to close through mid-year, but with the great job our teams did we really got about two-thirds of the way through it by the end of 2016.
Shawn Harrison: Okay. And then lastly, just the investments with Monolith, the $0.03 that's tied in or buried within the earnings number this quarter, if you could just maybe speak about how that investment flows through the rest of 2017. Does it lessen? Will you see an increase in investment? Maybe kind of the expected payoff timeframe associated with that as well.
Meenal Sethna: Yes. At this point what I think you can assume for the rest of the years, you can assume about a $0.03 impact for the quarter. As we mentioned, we have a minority interest investment right now in Monolith and as we talked about when we made that investment that as they achieved their milestones, we'll look at increasing our investment in the Company. So in the meantime, I would say you should bake in about $0.03 a quarter for that.
Shawn Harrison: Okay. Thanks so much and congrats on the good results.
Meenal Sethna: Thanks.
David Heinzmann: Thanks Shawn.
Operator: Our next question comes from John Franzreb from Sidoti & Company. Please go ahead.
John Franzreb: Yes. I'd like to go back to the better-than-expected results in the electronics business. With [fours] being pulled forward and still having the [1.05] book to bill, was there one particular end market that was stronger in that book to bill, especially in light of the Chinese New Year being a little bit earlier this year?
David Heinzmann: I would say there's not really a particular end market. I would say that the book-to-bills kind of in North America and Europe are probably driving that the most part I think the book-to-bills in Asia are kind of normal right now for this time. But it always a little challenging the cash the book-to-bill, during the Chinese New Year and approaching that, but generally pretty solid sort of bookings coming in from North America and Europe as well.
John Franzreb: Okay. And we haven't really touched on the industrial business. Last quarter, you kind of suggested that the mid-20s was kind of the bottom and you expect it going forward to be improving from there. It took a step down sequentially, sizably. Can you kind of talk to what end market might've been the biggest impact there? And are you willing to suggest now that we've hit bottom in industrial?
Meenal Sethna: Yes, I think John for the fourth quarter one of the sequential decline was we divested our e-house business in the early part of the fourth quarter. So that led to – that was a big chunk of the decline there, but on $25 million or so of revenue. At this point, we feel like generally between the mining industries and even with that oil and gas that generally bottomed out. So really what we're looking for some sort of uptick in those end markets.
John Franzreb: And just sticking with industrial, are you seeing pricing pressure or pricing relief in that market as the end markets tend to improve?
David Heinzmann: I would say overall we're not seeing particular price pressures overall, certainly with commodity cost up and some of those products there is – in some ways there's some pressure to push prices up to cover commodity impact in that space. So I don't think they've changed dramatically obviously and some of the more OEM specific sort of business when there's lesser business to be had, some people – sometimes the competition gets a little rougher. But in general, we don't see a big change in the dynamics on price pressure there right now.
John Franzreb: Okay, and one last question. On the CapEx budget, $70 million, how much is that due to the ON transfer and how long will that take to fully play out?
Meenal Sethna: Yes, so of the $70 million I mentioned that about $20 million of it is related to the, ON manufacturing transfer. We had talked about it will be close to a $30 million investment. So the bulk of it is going to happen in 2017 and we would expect the rest to largely be in 2018.
John Franzreb: Great, thanks for taking my questions.
David Heinzmann: Thanks, John.
Operator: Our next question comes from Gary Prestopino from Barrington Research. Please go ahead.
Gary Prestopino: Hi, good morning, everyone. Meenal, I'm just trying follow this. The automotive was down 22% on an operating-income basis. Was that entirely due to the acquisition or the integration you're going through there?
Meenal Sethna: Yes, I would say it's a couple of things. So some of that is with between the combination of PolySwitch coming in as well as the Menber's acquisition, especially I’d say the Menber's acquisition, definitely lower margins than we had on average for that business. I'd say that’s one. The other thing is the decline in our commercial vehicle products business because of the end markets that we've been talking about that unfortunately that also had an impact to declining margins as well. I’d say those are the bigger drivers.
Gary Prestopino: Okay. And then, it looks like the delta between GAAP and adjusted was about $0.38 for Q4. Could you give us an idea just for modeling purposes what that GAAP would be in Q1, or maybe give us some indication of what some of these line items are going to total so we can get to a GAAP and get to a proper adjusted number?
Meenal Sethna: Yes. So what I would say is in the fourth quarter, we had more unusual larger items related to foreign exchange – for foreign exchange on what I call non-operating items like company loans as an example that because of the volatility in the exchange rate. That was a pretty big number going through this quarter about $8 million or so. So I would say normally what you see through the run rate is a lot of our integration expenses and that's probably going to be the bulk of it. I don't have an estimate for you, but I would say if you strip out that $8 million, it probably gives you a little bit more of a reasonable run rate.
Gary Prestopino: Okay. Thank you.
Operator: And we have a follow-up question from Christopher Glynn from Oppenheimer. Please go ahead.
Christopher Glynn: Sorry if I missed it in the press release, but could you just give us the organic results on the topline for the year by segments?
Meenal Sethna: We didn't put that in there. They've been so many puts and takes on acquisitions et cetera. For the total company, we were excluding FX, excluding acquisitions. We are in the neighborhood of about 4%.
Christopher Glynn: Okay. Thank you.
Operator: And we have a follow-up question from Shawn Harrison from Longbow Research. Please go ahead.
Shawn Harrison: Hi, two brief modeling questions. One, just being kind of the OpEx numbers seen in the fourth quarter, is there any kind of big investments, other than what's going on with Monolith, that should take that total OpEx dollar number significantly higher in, say, the first half of the year?
Meenal Sethna: Nothing outside of the normal run rate as you mentioned other than Monolith, which will add a little bit to the R&D side.
Shawn Harrison: Okay. And then, second, just in trying to model cash flow for 2017, working capital days, the numbers moved around a little bit with some of the M&A over last year. Are you looking for any particular day improvement in working capital days or a target number of days that you'd like to have with that cash cycle exiting 2017?
Meenal Sethna: Sure. We finished the year from a working capital perspective in the low 60’s on DSO mid-60’s on inventory I would say, I expect this to track to that maybe a little bit better as we continue work on improvements and then I would say on payables, we're getting both to the 50-day mark on day’s payable. And that's one that we’re spending a lot of time focusing on and we would expect to see some improvements there.
Shawn Harrison: Okay, it’s helpful. Thank you. End of Q&A
Operator: And we have no further questions at this time. I will now turn the call over to Mr. Dave Heinzmann. Please go ahead.
David Heinzmann: Thank you for joining us today for the call. 2016 was a record year for Littelfuse and we believe we are well positioned to build on these achievements in the year ahead. We look forward to updating you on our progress in the next quarter. Thank you.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating and you may now disconnect.